Operator: Good day, and welcome to the Q3 2014 DHT Holdings Inc. Earnings Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Eirik Ubøe. Please go ahead.
Eirik Ubøe - Chief Financial Officer: Thank you and good morning. Before we get started with this call, I would like to make the following remarks. This conference call is also being broadcast on our website at dhtankers.com and a replay of this conference call will be available on the website. In addition, our Form 6-K, evidencing this news release, will be filed with the SEC. As a reminder, this conference call contains forward-looking statements that are governed by the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements, which include statements regarding DHT’s prospects, the outlook for tanker market in general, expectations regarding daily charter hire rates and vessel utilizations, forecasts of world economic activity, oil prices and oil trading patterns, expectations regarding seasonal fluctuations in tanker demand, anticipated levels of new building and scrapping and projected drydock schedules involve risks and uncertainties that are more fully described in our filings made with the SEC. Actual results may differ materially from the expectations reflected in these forward-looking statements. And with that, I will turn the call over to Svein Moxnes Harfjeld our Co-CEO and also on today’s we have Trygve Munthe, our other Co-CEO. Svein?
Svein Moxnes Harfjeld - Co-Chief Executive Officer: Thank you very much, Eirik and good morning to all. Thank you for attending our earnings call. On September 16, we completed acquisition of Samco Shipholding. As we acquired the shares of this company as opposed to buying this to ships, Samco has been included in our consolidated accounts from September 17. EBITDA for the quarter of $5.8 million and with a net loss for the third quarter of $7.1 million or equal to $0.10 per share. Subsequent to the acquisition of Samco, we now have a fleet of 20 VLCCs, which includes the six VLCC newbuildings under construction at Hyundai Heavy Industries. We have two Suezmaxes and two Aframaxes as well as 50% ownership in Goodwood Ship Management. For more details on the fleet, please refer to our website, dhtankers.com. In connection with the acquisition of Samco, we issued 23.1 million common shares at a price of $6.5 per share. We further issued $150 million principal amount of convertible senior notes due in 2019 with a fixed rate of 4.5% per annum and convertible into common stock in DHT at a conversion price of $8.125 per share. The company will pay a dividend of $0.02 per common share for the quarter payable on November 26 for shareholders of record as of November 20. We have entered into a firm commitment totaling $302 million for the refinancing of about $274.8 million related to three of Samco’s four credit facilities and the 50% debt financing of the DHT Condor. In connection with this financing which is expected to be completed in the fourth quarter of 2014, we will incur certain financial costs. And with that, we open up for Q&A.
Operator: Thank you. (Operator Instructions) We take our first question today from Jon Chappell of Evercore ISI. Please go ahead.
Jon Chappell - Evercore ISI: Thank you. Good afternoon. Svein, first question is regarding the remaining, I guess, roughly $100 million of debt financing for the newbuilds, I assume that’s kind of back-end loaded that’s for the newbuilds that will deliver the latest, how close to delivery time would you try to lock that up? And also any cash flow from operations that you may use now, given the larger fleet that may lessen the debt exposure you take on for the newbuilds?
Svein Moxnes Harfjeld: Yes, sorry. So, it’s second on the sixth ship that remains to be debt financed. I think it’s fair to say that we have received unsolicited proposals in financing the ships at the terms in line what we in general do in the company. We have been a bit reluctant to do this as of course we would incur commitment (fees). So, this financing is something we intend to pursue during the first half of 2015.
Jon Chappell - Evercore ISI: Okay. And as far as fleet changes are concerned, obviously that a lot has happened in the last 12 months or so, there are some older vessels in the fleet, do you think about disposing of some of those assets now that you have a much more modern fleet post the Samco acquisition?
Svein Moxnes Harfjeld: Jon, I think we have said all along that when the market has recovered and we sense that you have a meaningful level. So, it’s part of our tactics to dispose some of the older units, but we think it’s too early at this stage to do that.
Jon Chappell - Evercore ISI: And are you still looking at any expansion initiatives or right now are you just focusing on digesting the Samco acquisition?
Svein Moxnes Harfjeld: I think it’s fair to say that the priority or main focus now is on digesting the acquisition and streamlining everything, but we do still keep an eye on what’s available in the secondhand market and follow that pretty closely both on the ships in the water, but there is also some movements around certain contracts for newbuildings that are available in the market it appears.
Jon Chappell - Evercore ISI: Right.
Svein Moxnes Harfjeld: I think it’s fair to add that in line with our strategy we feel that the typical investment phase on nominal asset values is coming through kind of the tail end. So, any additions to what we have done so far will have to percent some obvious value creation to the DHT shareholders. We have been very pleased with what we have been able to execute now over the past 12 months and building up significant fleet and hence the tension on next steps has to add some very good value to the shareholders of DHT.
Jon Chappell - Evercore ISI: Understood. One last question, now that the acquisition in the fleet expansion phase is done and we are entering what appears so far to be the beginning of a cyclical upturn at least the way that we see it, cash flow from operations should start to accelerate pretty meaningfully, has there been any thought to a shift in the dividend policy whether it’s raising it from the current $0.02 number or shifting over to a variable dividend?
Svein Moxnes Harfjeld: I think as we have expressed quite a few times before we think this is certainly a very cyclical business. We are on our way out of the trough. And in the trough our focus has really been on expanding the fleet. And we still think we are in that phase. So, I think another quarter or two, our focus would really be to see if there is other meaningful growth we could pursue, but once we feel that the investment phase is over, then we are definitely prepared to start paying out a bigger share of the cash generated from the operations, so yes, increased dividends is not unlikely, but perhaps not in the very short-term.
Jon Chappell – Evercore ISI: Got it. Thanks for the help, Svein and Trygve.
Svein Moxnes Harfjeld: You are welcome.
Operator: Thank you. We now move on to our next question from Noah Parquette of Canaccord. Please go ahead.
Noah Parquette - Canaccord: Thank you. I was wondering with kind of rates moving higher and charters rates coming up, you give us some thought to what levels you would like to fix the vessels at or do you plan on keeping at spot?
Svein Moxnes Harfjeld: I think for time being, we will keep the ships in the spot markets. There is always somewhat of a time delay between spot rates and theory grades. Theory grades today I think by brokers is assessed for 1-year to 3-year charters in the long purpose, 30, 31, 32 thereabout for (indiscernible), which we do not deem to be attractive. Spot market is well above that and at that point and we have not announced what that number will be, but we will look to secure longer term cash flows, but we do think it’s too early.
Noah Parquette - Canaccord: Okay. And so keeping on the spot market, have you obviously saw that the year in our Tankers International news, how does – how do you plan on employing the ships, I mean, do you plan on participating in more pool arrangements or going on your own or maybe give some color there?
Svein Moxnes Harfjeld: Fleet utilization earlier in the year to grow it on our own, so we left the TI at the early of the third quarter this year and have our commercial operations operating out of our office in Oslo and we are participating in the marketplace and competing with other people, I think our earnings are not interior to heading up the other leading operators and then we are currently enjoying the rates as you see in general being reported in the markets.
Noah Parquette - Canaccord: Okay.
Svein Moxnes Harfjeld: We feel couple of benefits in doing this. One was that we are obviously much closer to the markets by having in-house commercial operations, but also closer to the customers. And given there, our fleet size and our (indiscernible), we felt that this is not appropriate time to do it.
Noah Parquette - Canaccord: Moving on to kind of the industry as oil prices have fallen, bunker fuels also come down. How is that affecting what you are seeing in the market, I mean, are the ships beating up at all, are you just enjoying kind of lower fuel costs, maybe just talk a little bit about that?
Trygve Munthe: I think for sure we are certainly enjoying lower fuel costs and what’s interesting in the tanker market is that even with the fleet list of some mid-80s VLCCs expected over the next four weeks into the Arabian Gulf, world scale rates are holding pretty steady and with the declining oil price of course, (indiscernible) is moving in the right direction. We haven’t really seen anyone starting to shoot up perhaps a little bit than it could be sort of a case-by-case, it could be a matter of making it in time to be back for certainly 10 or whatnot, but on the average, we don’t really see it changing on adequate.
Svein Moxnes Harfjeld: I think it’s important also to recognize that it’s really on the balanced leg that you have seen super slow streaming now and during the troughs and the latent legs declines are very much involved and is part of the negotiations as to what speed, you will operate that, but that remains pretty much unchanged, but I see a little as the bunker prices had dropped and the level at which it makes sense to increase from say 9 to 10 or 10 to 11 months, the balance is now lower than also $600, $650 per ton for bunkers.
Noah Parquette - Canaccord: Okay, that’s very helpful. Thank you.
Operator: Thank you. We now move on to a question from (indiscernible). Please go ahead.
Unidentified Analyst: Sorry. My question was actually just asked. Thanks.
Operator: Thank you. We now move on to Øyvind Berle of DNB Markets. Please go ahead.
Nicolay Dyvik - DNB Markets: Hi. It’s Nicolay speaking. You focused a lot about growth and you say that the asset acquisitions coming through them, but if you find opportunities you are in there to buy, what about at least based on why NAV assessment, your stock is trading at a 15% discount to NAV. Does it make more sense to buy our own stock than buy any more ships in the markets?
Operator: Please standby. Your speaker has just lost connection. Ladies and gentlemen, please standby while we get the speaker back to the conference.
Nicolay Dyvik - DNB Markets: Was it my question or just the management’s that left the line?
Trygve Munthe: Hello. This is Tryg Munthe. I am sorry, we were cut off here. I apologize for any communication, so if we lost out any questions, please do it.
Operator: Okay. At the moment, we have Øyvind Berle from DNB Markets for a question.
Nicolay Dyvik - DNB Markets: Hi, it’s Nicolay from DNB asking a question. You focused a lot about growing the fleet and despite you said that the asset cycle is coming a bit to the end and focus more on cash flow, you said that if you find opportunities are in there to buy with at least based on my NAV assessment, your stock is trading at about 15% discount to NAV. Does it make more sense to rather focus on share buybacks over any asset acquisitions?
Trygve Munthe: I think you are fair to assess that we are trading below NAV and as such you could argue that buying our shares is cheaper than buying assets. That being said, we don’t in line with how we have allocated capital, we don’t think that we have liquidity to start buyback programs. If we have to expand the company further, that would have to be in connection with raising additional risk capital. What is very important to recognize or consider in this regard is that we will only do that if there is some obvious value creation and accretion through the DHT shareholders. At current share price, to go and bring shares and buy assets, we will not consider that. There are other avenues for potential growth. There are some private fleets out there that could consider creating liquidity in their investments through coming into DHT, but again, we want to focus on how we will create value for DHT shareholders in that regard.
Nicolay Dyvik - DNB Markets: What’s your view on the lower oil price and the impact on the crude tanker market also ahead of the upcoming OPEC meeting?
Svein Moxnes Harfjeld: I think we agree there was noise by other people that you have a couple of effects there, one is of course that we needed to get a lower fuel cost and with unchanged world scale rates that is an improvement and then basic economics one-on-one that lower price expenses for increased demand. So, in the short-term, we have seen certainly quite a few barrels moving out to the parties, where certain countries has the tendency to stock up a little bit once things are cheaper than they were previously. So, we think there is short-term good news in it and also as a general observation that the lower prices will spur demand if anything.
Nicolay Dyvik - DNB Markets: Yes, thank you.
Operator: Thank you. (Operator Instructions) We now move on to a question from Mark Suarez of Euro Pacific Capital. Please go ahead.
Mark Suarez - Euro Pacific Capital: Yes, good morning guys. Just to go back to the Samco acquisition, specifically the employment profile, I know there is a bunch, I think there is a few vessels coming up for renewal over the next 6 months or so and I know that you were talking about the market seems to have significant demand right now, especially in the near-term. I am wondering if there is an opportunity here to maybe recover them with a profit share component or are you just thinking straight spot here? Well, what’s your view on the Samco vessels?
Trygve Munthe: You are right in that four out of the five that are going to charter are starting to come off in the first quarter next year and then for another four, five quarters. We think it’s a bit too early to say exactly what we would intend to do. We think that it makes sense to have some fixed rate income in the mix when we have reached as many ships as we have. We do like some profit-sharing element, but it is really a bit too early to say now what we are going to do. And of course, as Svein alluded to earlier, the numbers when the time is right will make sense and quite frankly at the current 12-month charters for large tankers, we would rather stay in the spot market.
Mark Suarez - Euro Pacific Capital: Okay. So, when you go out and you talk to your charters and parties, do you get the sense that you have enough leverage out there to maybe going to a fixed contract with a profit share variable on it or what’s your view on that, what’s your sense from your counterparties when given demand levels as we see it now?
Svein Moxnes Harfjeld: It’s a pretty much continuous dialogue with the main charters out there or clients. And different schemes are discussed more or less continuously, but again, we would anticipate that we would be more active on the term business front some quarters for now than what we have today.
Mark Suarez - Euro Pacific Capital: Okay. And then the final question on me, I know you mentioned that if you are going to grow, you just got to be at the benefit, significant benefit to the shareholder. I am wondering when you look at opportunities out there in the market, you talked about newbuilding contracts maybe taking over. Are you still focusing on the VLCC segment or are you seeing opportunities out there from other segments like the Suezmaxes, for example, I mean, what’s your sense as to what opportunities out there conform more to your strategy what sort of segments are you looking at?
Svein Moxnes Harfjeld: We are in all three sectors and we have an interest in all these three of these asset classes. It’s fair to say that we have not really found that attractive secondhand opportunities in the Suezmax markets. There has been more opportunities in the VLCC space. We are not keen really to place new orders as we think there is sufficient supply coming on stream now over the next few years. So, if we are to do anything on newbuilds on Suezmax, it would have to consume existing orders being in place. We are certainly having interest given that the price is right and how we can execute in a meaningful way for the shareholders.
Mark Suarez - Euro Pacific Capital: Okay, great. Well, thanks for your time again guys.
Svein Moxnes Harfjeld: Sure. Thank you.
Operator: Thank you. We now take a follow-up question from (indiscernible). Please go ahead.
Unidentified Analyst: Thanks. Sorry for returning to this, but just a very direct question, do you feel you have the organization in place to operate 14 and eventually 20 VLCCs in the spot markets?
Svein Moxnes Harfjeld: The answer is yes. We have expanded operational team through the middle of this year and we hired one chartering person who joined us also in the summer. Senior management is involved in chartering, but the plan is to add one more person into this team. So, that is something that the company is working on, but we are certainly capable of handling what we have in place right now keeping in mind that some of the ships are very shorter and six are yet to be delivered starting November next year.
Unidentified Analyst: Okay. And then again, returning to the (indiscernible) collaboration is that something you would be interested in taking part of the (indiscernible) and clearly a lot of market power, I would say?
Trygve Munthe: I think as a general note, we certainly welcome the collaboration between these two very large chartering out for lease. We think it’s good for the market, but we don’t think that our behavior in the market has been to the detriment of anyone. So, I think in terms of the cooling concept, the important guys to roundup is really the 1 and 2 ship owners that are out there and maybe not having the tool information and when the trigger will be too earlier (indiscernible) positions. So, we are quite excited about going this by ourselves and we spend a fair amount of time in developing – further developing their relationships with the end users and we think this is the right strategy for DHT.
Svein Moxnes Harfjeld: I think (indiscernible) to add that we can say that levels we have been doing as of late is not at any discount to what that outfit is doing. And it’s also fair to add that some clients view it as interesting to see a new provider such as DHT coming in and they are certainly providing us with good opportunities to do business. And that is not at any discount to what this large outfit is doing. So, we think all in all it is good that we get some point of consolidation, but again for us to be closer to the market and the clients, it’s going to be important in delivering solid earnings going forward.
Unidentified Analyst: Yes, I certainly agree. I think you had higher TZ earnings than I expected, but in the future would you consider sort of disclosing the spot TZ rate in a more kind of thorough way than you do today as you have more vessels exposed or will – yes, just?
Svein Moxnes Harfjeld: I think our general market communication policy is under constant review. And as the company is developing, that’s something we will consider how to communicate that in general. So, there is nothing specific to decide that as of now.
Unidentified Analyst: Thank you.
Operator: Thank you. (Operator Instructions) And Svein, as there are no further questions at this time, I would like to hand the call back over to you for any additional or closing remarks.
Svein Moxnes Harfjeld - Co-Chief Executive Officer: I think we would just like to say thank you to everyone for participating in the earnings and your continued interest in DHT. Thank you very much.
Trygve Munthe - Co-Chief Executive Officer: Thank you. Have a good day.
Operator: Thank you. That will conclude today’s conference call. Thank you for your participation ladies and gentlemen. You may now disconnect.